Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss the Startek Financial Results for the Second Quarter ended June 30, 2023. Joining us today are Startek Global CEO, Bharat Rao; and the company's Global CFO, Neeraj Jain. Following their remarks, we'll open the call for your questions. Before we continue, we would like to remind all participants that the discussion today may contain statements, which are forward-looking in nature pursuant to the safe harbor provisions of the federal securities law. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Startek advises all those listening to this call to review the latest 10-K posted on its website for a summary of these risks and uncertainties. Startek does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include some non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. These reconciliations can be found in the earnings release on the Investors section of their website. I would like to remind everyone that a webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Additionally, the company has included a presentation to accompany the call, which can be found via the webcast link and on the Investors section of the company's website. Now I would like to turn the call over to Startek Global CEO, Bharat Rao. Bharat, please proceed.
Bharat Rao: Thank you, Paul, and good afternoon, everyone, and thank you all for joining. As Paul just mentioned, we encourage everyone to follow along with the quarterly investor presentation, that can be accessed through the webcast link as well as the IR site. Let's start on Slide 2 and recap our Q2 highlights along with some recent events. Overall, we continue to provide best-in-class services to our customer base, and I'm proud to report our data showing us in top quartile of performance with our top 20 clients. The investments we've made in our platform over the past 18 months have really begun to take hold, and it's great to see these investments translating into a better customer experience across the board. As we've discussed at length, 2022 was about investing in our capabilities and rightsizing our footprint to ensure our entire organization was focused on driving growth through our core competencies. In 2023, our goal is to put our foot on the gas to grow our client base and continue looking for ways to expand offerings with current clients. To start the year, we made meaningful progress with the consolidation of our digital and sales team under one umbrella, led by our Chief Growth Officer, Abhi Jain. Although it is still in the early innings of the transition, we are seeing positive signs that this organizational shift is benefiting starting from an efficiency and a pipeline conversion perspective. In fact, our momentum from the first quarter continued into quarter two as we successfully ramped up services with new clients and worked on increasing volumes with existing clients. One of these ramps included a large client in the cable sector, expanding delivery to four additional geographies. We also gained four new logos, which are all set to be delivered offshore. While I'll dive into further details about our growth initiatives later on, it is encouraging to see that we have been able to sustain margins despite the decline in our revenue base as a result of our strategic divestitures that we have already made and plan to make. Before we move on, I want to address what is probably top of mind for everyone. Subsequent to quarter end, our majority shareholder, CSP, made another take private offer to our Board of Directors. Within the proposal, CSP is offering $3.8 per share for remaining shares not already owned by them. As a result, our Board has put together a special committee comprising three independent directors to evaluate the offer and determine if it is suitable for our shareholders. At this time, I have no further updates, and the special committee has commenced their deliberation process. Turning to Slide 3. We are always proud to be recognized by our team's hard work, innovation and workplace culture. We won a Stevie Award for our new products and a handful of Comparably awards for everything from culture to career growth. We also participated in Customer Contact Week where we were able to interact and exchange ideas with clients and industry participants. Notably, many of the conversations were centered around the broader impact of artificial intelligence and how we can better leverage this groundbreaking technology to deliver enhanced customer experience. We are grateful to be recognized as a leader in our industry for the way we treat our employees and the impact we make when it comes to new innovations. We expect our reputation for success to benefit us as we continue to scale our sales pipeline. Moving to Slide 4. I wanted to dive a bit deeper into our growth initiatives. As I mentioned earlier, our strategy of consolidating our sales and digital teams under one umbrella of group reporting into our Chief Growth Officer, is beginning to show results. If you look at the momentum we've already generated in the first half of 2023, we have more than doubled our new logo wins from 2021 and have already reached 75% of the total new logo wins we had in all of 2022. In quarter two alone, we signed 14 new campaigns and four new logos. Our year-to-date new logo wins have a contract value in excess of $57 million. We firmly believe that we are well positioned to capitalize on the opportunity in the long term and weather short-term headwinds. With uncertainty persisting in the global macro economy, we are seeing longer sales cycles and delayed decision-making with current and potential clients. With cost reduction being at the forefront of many discussions with customers, we believe the investments we have made to expand our nearshore and offshore services positions us well. We are able to provide a compelling offer that can reduce a company's expenses, while simultaneously enhancing the overall customer experience. To further supplement these conversations, we are also focusing on expanding our technological capabilities through continued internal investment, along with entering into advantageous partnerships. Looking at the game-changing technology like AI, we need to ensure we remain at the forefront of leveraging this appropriately and passing on the efficiencies to our clients. We are in discussions with our digital partners to build modules around AI that can further help us elevate agent performance, efficiency and engagement. We are also building vertical-specific models alongside Startek Cloud and Startek AI platforms, leveraging our deep expertise in select verticals to enable transformation solutions. On the topic of investing in our capabilities, let's look at Slide 5. I wanted to highlight an important milestone we accomplished this quarter. As many of you are aware, security has always been top of mind for our organization, and it's only getting more important in this day and age. We have spent a considerable amount of time upgrading our security apparatus to ensure it is best in class. As a result, we received a rating of A or 97 out of 100 from Security Scorecard, exceeding our industry average and continuing on trend upwards. We also received a Bitsight Security Rating of 750, which is also above the industry average of 720, and considered an advanced security score on the lowest end of the risk spectrum. While these high ratings are not new for us, the continued improvement and commitment to investing in this kind of business serves as a reminder of the premium we place on the security of our customer data and platform. Overall, I'm proud of the progress we have made in the second quarter. Whilst there may be some choppiness in the short term, we are continuing to push forward aggressively and execute the long-term goals we have set for ourselves. Now I'd like to turn the call over to our new CFO, Neeraj Jain. Neeraj brings to us more than two decades of experience in corporate development, organizational transformation and financial leadership. We are happy to have his extensive experience and leadership on board as we enter this next phase of our growth strategy. Neeraj will now provide further details on our second quarter financial results, of which you can see a recap starting on Slide 6. Thank you all for joining us, and I'll be available to answer questions you may have during the Q&A session at the end of this call. Neeraj, I'll now pass over the call to you.
Neeraj Jain: Thanks for the introduction, Bharat. I have only been CFO for a couple of months. But in that time, I've been impressed with the team's determination and rigor. I'm happy to be here and excited to play a role in the company's growth as we look forward to a promising future ahead. I would like to note that as a result of our current and planned divestitures, we have adjusted our financial statements to exclude revenue from discontinued operations in the current and prior year periods. For a full reconciliation of our second quarter results, please see the financial tables listed in our quarterly earnings release or 10-Q that will be posted on the Investor Relations section of our website. Starting on Slide 6. Looking at our top-line, net revenue in Q2 was $91.1 million compared to $96.2 million in the year-ago quarter. If you adjust for the high revenue basis in the prior-year period, resulting from an unexpected client churn, along with FX impacts, revenue actually increased 3% year-over-year on a constant currency basis. Gross profit in the second quarter increased 5.7% to $11.7 million compared to $11 million in the year-ago quarter. Gross profit margin increased 130 basis points to 12.8% compared to 11.5% in the year-ago quarter. The improvement in gross profit and gross margin is primarily attributable to lower employee cost, resulting from a higher portion of service delivered nearshore and offshore along with proactive pricing adjustments to account for the [inflationary] (ph) environment. Adjusted EBITDA from continuing operations in the second quarter was $7.7 million compared to $7.9 million in the year-ago quarter. Adjusted EBITDA margin increased 20 basis points to 8.4% compared to 8.2% in the year-ago quarter. Please note that second quarter typically is a low-margin quarter, given it has lowest count of working days. As a result of the efficiencies that we have built into our platform over the past year, our focus will be on maintaining the full year adjusted EBITDA margins in the similar range as last year. Despite increasing cost towards upgrading our technology and security, additionally, as we expand our offshore/nearshore mix, we should continue to see improvements with our adjusted EBITDA margins over time. Adjusted net income attributable to Startek shareholders from continuing operations was $1.5 million compared to $6.2 million in the year-ago quarter. At a consolidated level, including discontinued operations, adjusted net income decreased to $1.5 million or $0.04 per diluted share compared to $6.3 million or $0.15 per diluted share in the year-ago quarter. I'll move to Slide 7. You will see a breakdown of our revenue by vertical and geography for the first half of 2023 compared to the first half of 2022. Please note that much of these declines were expected as we navigated the transition of our asset base and focused on higher-margin offerings. In addition to many of the wins we experienced in the first half of 2023, not flowing through to our financial results until the back half of the year end 2024. Turning to Slide 8, you will see in the first half of 2023, we have been able to sustain a healthy adjusted EBITDA margin despite the decline in revenue base compared to the prior year period. We are improving our internal processes to make us more agile and proactive in managing our cost to align with revenue movements. Lastly, turning to Slide 9 for a look into our balance sheet. As of June 30, 2023, our cash and restricted cash balance stood at $39.1 million compared to $24.9 million on March 31, 2023. Our total debt on June 30, 2023 improved to $78.5 million as compared to $130.7 million on March 31, 2023. You will see we have significantly paid down our debt since the start of the year, leading to a current net debt position of $39.4 million and a net leverage ratio of 1.1x. This has played a crucial role in improving our cash flow in the current interest rate environment, and we expect to continue deleveraging the balance sheet going forward. With that, we will now open the call for questions. Paul, over to you.
Operator: Thank you, sir. [Operator Instructions] And our first question is from Alex Paris of Barrington Research. Your line is open.
Alex Paris: Thank you for taking my questions. And Neeraj, I'm pleased to meet you and look forward to working with you. Welcome to Startek.
Neeraj Jain: Likewise, and thank you so much.
Alex Paris: I have a couple of questions. I'll start with the bigger picture questions first, and it is the macro. Bharat, you said in your prepared comments that in this current macroeconomic environment, we're seeing longer sales cycles and delayed decision-making, which is not surprising. Most companies are seeing that in this environment. But I'd like to just get an update on your new wins -- new business wins overall and your new logo wins specifically. You seem to be really bringing in new ones despite that macroeconomic headwind. What do you attribute that to? And what does the pipeline look like for the rest of the year?
Bharat Rao: Sure. Thanks. I think the new wins, I would attribute to a lot of work that has gone into: a, building our pipeline, as I talked about strengthening our nearshore and offshore capabilities on the one hand; and secondly, pressure on some of our customers to essentially look at optimizing their delivery costs without necessarily compromising the customer experience is leading many of our customers or prospective customers to explore options from an outsourcing and offshoring perspective. So, what we have seen is customers who were hitherto operating effectively captives have started looking at outsourcing. Those who are looking at outsourcing onshore are now actively looking at nearshore and offshore solutions from a cost optimization perspective. For exactly the same reason that everyone else is looking at, a, reducing volumes, cost pressures, and therefore, looking at how do you optimize your delivery cost without compromising quality, which is where some of our wins and ramps have happened really off the back of not just what we can do onshore, but essentially our strengthened based nearshore and offshore. Does that kind of resonate with what you're hearing in the industry and from some of our competitors as well?
Alex Paris: Yes. No, that was helpful. I appreciate the additional color there. And then just to be clear, today, you announced four new logos, all offshore and nearshore. And in addition to that, 14 new campaigns. So, I just want to put it on the same apples-to-apples with the first quarter. In the first quarter, I believe, you had five new logos, which were a part of 12 business wins. Is that right?
Bharat Rao: Correct. So, we have five new logos in the first quarter, and we had four new logos coming in this quarter.
Alex Paris: And then -- but in addition to that, in the first quarter, you had seven additional engagements, and in the second quarter, you had 14 additional engagements or campaigns, so to speak?
Bharat Rao: Right. I mean these are lines of -- new lines of business and lines of service where we augment with existing customers as well. So typically, we tend to look at new lines that we launch with the existing customers and new logos.
Alex Paris: Got you. That's helpful. And then last quarter, I think we talked a little bit about inflation and its impact on your business as well as the impact of your -- on your customers. You had said that 2023, you're not going to have the same impact from employee wages as you did in 2022. And you're trying to recapture price as contracts come up for renewal. And I'm wondering where are you in that process. Are you halfway through the process, for example, of renegotiating price on renewals? Because I'm assuming they renew it different times throughout the year.
Bharat Rao: Yes. So as they come up -- that process is an ongoing cycle. So as the contracts come up for renewal -- there are two ways of really looking at it. One, as contracts come up for renewal, we talk about, including whether aspects such as [indiscernible], but also looking at repricing. The other one is when we look at contracts and there is -- there are contracts that are moving towards transaction-based pricing, there we talk about if you're able to deliver efficiencies for customers, what kind of gain share models are we going to build in. And it's not just us, I think the industry over has been talking really about the impact of generative AI and how customers can benefit from it. And if you're able to deliver value, how do we ensure that we and our customers, both partake in the benefits arising from that. So that kind of gives a sense that: a, contracts as they come up, will be subject to kind of negotiations and various aspects of contract renewal; and the second aspect is with respect to inflationary trends. I think what we're doing is -- to counter some of that, we are focusing more on nearshore and offshore delivery locations, which essentially helps us to a certain extent, balance that and keep our margins stable. Hope that provides you some context in terms of contracts and the cost management part of it.
Alex Paris: Absolutely. And then one last big picture question. With regard to AI, you brought it up. It's on almost every conference call these days. You want to make sure that you're at the forefront of developments in AI. Is there a time line? When should we expect a Startek answer to AI built into your service offering?
Bharat Rao: I think we are already building our elements of AI into our service offerings. If you look at what we are doing with respect to our agent amplification tools for instance and the stuff that we have talked about in the past, I think that those investments and the effect of those investments on improving the quality of our support to the agents continues. So I think -- and that's something that we have also talked about in some of the content that we have released, that we expect generative AI and AI-driven models to essentially help us improve the quality of customer experience arising from better tools being available to agents to be able to respond. So essentially, what you would expect and that's what we see with our customers as we go through discussions with them, whether it's for contracts, new business, there is an expectation of improvement in efficiency. And what I mean by that is faster resolution of queries, lower average handling times, lower transfer rates, the ability of agents to take more complex calls, and therefore, multiskilling of agents. And all that is the result of inducting AI and AI-enabled tools into the entire customer experience ecosystem. So I wouldn't necessarily say that you draw almost a line in sand and say, post this particular point, we have AI getting into our system. AI is already into our system, an integral part of offering today assumes and actually inducts AI into the offering suite.
Alex Paris: Great. And then my last question, I promise, is I wonder if we could get an Argentina update of the three non-core assets that you were selling. That was the last one that you began the process on, and I was wondering how that's coming.
Bharat Rao: Sure. We are going through a process there, I mean, in terms of interest from various parties and are at various stages of discussion, because we have to make sure, obviously, that we pass that on to the right party that continues a tradition because we are not looking at just winding down operations. We have a good set of employees, a good set of customers. We have made the investments there. We want to ensure that when we sell our interest in Argentina, we want to make sure that it passes into the right hands who are able to continue the -- with the team and the performance. So in terms of discussions, those discussions are on. I wouldn't be able to give you a sense. Clearly, the plan is for that to conclude this year. In terms of the kind of discussions that we have had with a few interested parties, those are currently underway and fairly actively.
Alex Paris: Very good. Well, thank you very much for answering my questions. And I'll let somebody else to have a chance.
Bharat Rao: Thank you.
Operator: We have a question from Zach Cummins of B. Riley Security. Your line is open.
Zach Cummins: Great. Thanks for taking my questions. Bharat, can I just ask you about the anticipated revenue ramp? How we should be thinking about that in the second half of the year just related to your new business wins from the first half of this year and then building upon the logos that you secured in 4Q of last year with the large cable customer and utility customer?
Bharat Rao: Sure, Zach. See the issue that we have at the moment is whilst we've got -- and I'm very happy that we've been able to secure the kind of wins that we had talked about. I think these -- the ramp in these wins in the -- from these wins will continue as will the ramp from the customers that we won towards the end of last year. But what we do see this year is that the holiday season volumes that we normally saw getting into quarter three are looking a lot softer. So to that extent, typically, quarter two for us in the past has been a lot -- has been softer, leading to stronger quarter three and quarter four. I would expect that kind of holiday ramp, holidays, so getting into the holiday season that essentially increases the volumes is going to be a bit softer this year. Secondly, we have an active pipeline, but what we have seen is that the decision making is getting extended because people are -- there seems to be a general tendency to currently on a wait and watch. So I would think that the traditional increases that we had going into quarter three and quarter four might be a little more muted this time. So, not...
Zach Cummins: Understood.
Bharat Rao: It's more the question of timing. And over the next two quarters, people are -- I think for two reasons. One, people are trying to figure out spending inflation, cost increases, et cetera. And secondly, customers are also trying to figure out what does generative AI do? How much can you use that to deflect volumes to automated channels? And therefore, can you actually set yourself targets? Because whilst we are bracing ourselves, I think so our customers in terms of what generative AI is capable of. So I think everybody is dealing with "the new beast."
Zach Cummins: I understand that. Got it. And final question for me is just really around gross margin. I mean, should we think of Q2 is typically the trough when it comes to gross margin for the year? Or how are you thinking about those dynamics with a potentially softer revenue ramp in the second half and increasing mix of nearshore and offshore delivery engagements?
Bharat Rao: Gross margins, we should be able to continue unless where our gross margins really get affected is if you were to make substantially more investments in our technology, in some of our delivery capabilities, right? That's where you have typically an impact on gross margins. Now where the gross margins get an uplift is more work around nearshore -- delivered from nearshore and offshore locations. So to the extent that our nearshore and offshore locations dominate our delivery, you would see an improvement, but equally because volumes are going to be softer and the investments we have made and will continue to make, we won't strip that off. I don't think we are going to look at significantly improved margins if that's where you're coming from. But I don't think equally, we would have significant decline either because of the investments we're making. So I would think there'll be a bit of a counterbalance between, a, ramps happening nearshore and offshore, which will effectively offset the softness that we see in volumes. Neeraj, if you've got -- if you would like to chime in to that, please feel free.
Neeraj Jain: Yes. I will just add, Bharat, I think you have rightly said that as we see for the full year, basically, this is the counter that will happen wherein because of the nearshore and offshore that we will basically be using the investments that we have made in technology, the volume drop and the seasonality will definitely be counted. So, I agree with you. We don't foresee any major drop in our margins because of the operating efficiencies that we are currently driving, which we have done in H1, and that is what has resulted in our margins in H1. And if we continue to do focus on those areas where we look at our employee costs, we look at our operating efficiencies, including the IT cost, and we should be able to held on to our margins. So I agree with you.
Zach Cummins: Understood. Well, thanks for taking my questions, and best of luck with the rest of the quarter.
Neeraj Jain: Thank you.
Bharat Rao: Thank you, Zach.
Operator: Thank you. I'm seeing no further questions. I'll turn the call back over to Mr. Rao for closing remarks.
Bharat Rao: Thank you all for -- thank you, Paul, and thank you all for joining us this afternoon and for your continued support of Startek. I look forward to speaking with you when we report our third quarter 2023 results.
Operator: The meeting has now concluded. Thank you for joining, and have a pleasant day.